Operator: Greetings. Welcome to the L3Harris Technologies Fourth Quarter 2025 Earnings Conference Call. At this time, participants are in listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, as a reminder, this call is being recorded. It is now my pleasure to introduce your host, Tony Calderon, Vice President of Investor Relations and Corporate Development. Thank you. Tony, you may now begin.
Tony Calderon: Thank you, Tiffany, and good morning, everyone. Joining me are Chris and Ken. Earlier this morning, we issued our fourth quarter earnings release outlining our results and our 2026 guidance, along with a presentation available on our website. Before we begin, please note that today's discussion will include forward-looking statements subject to risks, assumptions, and uncertainties that could cause actual results to differ materially. For more information, please refer to our earnings release and SEC filings. We will also discuss non-GAAP financial measures, which are reconciled to GAAP measures in the earnings release. With that, let me turn it over to Chris.
Christopher E. Kubasik: Thanks, Tony, and good morning, everyone. We wrapped up 2025 by continuing to execute with speed and discipline, meeting our customer commitments, improving on-time delivery, and investing to increase production capacity while delivering strong fourth quarter and full-year results. We ended the year with a record order book and strong demand signals from our customers. All of this is positioning us for sustained growth going forward. We are equally focused on how we evolve our business. Over the past six years, we have aligned our portfolio to the fastest-growing defense priorities, with a vision of the future of warfare. As a result, we have acquired and divested billions of dollars of businesses, including our recently announced sale of a majority stake in our civil space propulsion and power business. 60% of this business is being sold to AE Industrial Partners. AE's multiple investments in space assets make them an effective steward to scale the business and unlock its value for our shareholders. This transaction enables us to sharpen our focus on our priorities for the Department of War and our allies. We have continued to improve our operational agility and market position. We reorganized our businesses from four segments to three in order to align technology and business models. And we announced our intention to pursue an initial public offering of our missile solutions business in 2026. The Department of War is the anchor investor, creating a $4 billion-plus revenue majority-owned public company with sustainable double-digit growth. This new company will deliver critical propulsion systems at unprecedented speed and scale, as well as other missile solutions such as air-launched effects, IR seekers, and weapon release systems. This is an example of the strategic partnerships we have pursued to drive business growth and address critical needs for our customers. We spent time in the Pentagon and listened to the DOW's needs to significantly expand missile production. And we responded by negotiating a novel partnership structure that benefits the warfighter, taxpayer, and our shareholders. We, along with our supply chain, will build production capacity faster than anyone in the industry to meet the demand signal. The US government is planning to make a financial investment in a new company critical to our national security. Their stake is solely economic. They want greater capacity quickly and a return on their investment. The strategy is straightforward. Construction began last year to expand capacity on large solid rocket motors and certain tactical rocket motor programs. The government invests now, allowing us to further increase capacity for critical interceptor programs such as THAAD, PAC-3, and standard missile. There is no waiting for contracts or acquisition funding. The investment gives us the confidence to build today while the long-term contracts are being negotiated and finalized. Capacity is now the most important capability. Our actions are deliberate. We are leading the industry to meet the needs of our customers. We are strengthening the industrial base, reinvigorating competition following decades of consolidation, and unlocking value for our shareholders. In our industry, the year unfolded against one of the most demanding defense and security environments in decades. It was complex, competitive, and rapidly evolving. Speed and execution mattered. Against that backdrop, our workforce delivered. So thanks to them for our best year ever. We met our commitments to warfighters, to customers who measure value in deliveries and not intentions, and to the DOW by strengthening the supply chain that underpins national security. Delivering on our commitments resulted in record orders, solid organic growth, expanding margins, and strong cash flow generation. Doing what we say we are going to do is fundamental to how we run the company. Our portfolio is directly aligned with the fastest-growing customer missions: space sensing, missile defense, resilient communications, aircraft ISR missionization, and kinetic effects. That alignment is deliberate and informs where we invest, how we come to market, and how we engage with customers. Our mission relevance is seen in our record order book and strong organic growth. We executed on our programs, stabilizing challenging space programs, clearing delinquent rocket motor deliveries dating back to the time of our acquisition, and realizing efficiencies through LHX NEXT. These outcomes reflect disciplined execution, technical credibility, and our ability to deliver at speed and scale in direct alignment with evolving customer requirements. Undoubtedly, what stood out the most in 2025 was the pace and urgency of customer demand. Threat environments evolved faster than recent history, and expectations shifted just as quickly. Customers require advanced capability at speed and scale. We have the competitive advantage in this environment as the agile trusted disruptor. We also deepened our role as a trusted international partner. We won key awards in Europe and Asia, leveraging a global supply base, and investing in local industry to scale capacity. We have localized production across the globe, enabling us to meet customer needs during production and during the long sustainment tail. These efforts reinforce our commitment to strengthening global security through interoperable solutions and partnerships. We secured awards that reflected the full breadth of our capabilities and our ability to consistently bring the right technologies to the table and translate them into customer-aligned solutions. These wins underscore customer confidence in our technical depth, disciplined execution, and our ability to deliver integrated mission-ready capabilities. All of this resulted in a record backlog and order book this year, with an overall book-to-bill of 1.3 and backlog in excess of $38 billion. Let me highlight a couple of our key wins this quarter. At the start of the fourth quarter, we secured a landmark $2.2 billion award from South Korea for next-generation airborne early warning mission business jets. Also during the quarter, we were awarded an international weather set satellite program for approximately $200 million and multiple international tactical communications and software-defined radio orders in the quarter totaling over $200 million. At the end of 2025, we strengthened our leadership in space-based missile defense with the award of an SDA contract valued at approximately $850 million to deliver 18 satellites for the tranche three tracking layer. Building on a proven track record as the only company awarded contracts across all four tranches, this milestone reinforces our alignment with national defense priorities and underscores our ability to deliver trusted, resilient, integrated spacecraft architectures. The continued technology maturation for this contract, as well as production synergies, positions us very well for the HBTSS award. And following the quarter, we were selected to deliver multi-aircraft special mission business jets for an international customer with a potential value of over $2 billion. An initial order of over $700 million will be booked in 2026. Our 2026 guidance exceeds our ambitious targets for revenue, margin, and free cash flow that we laid out at our last Investor Day in December 2023. Our record backlog and robust order outlook underpin our 2026 industry-leading 7% organic growth. We also exceeded our LHX NEXT $1 billion savings commitment one year ahead of the plan. Many doubted our ability to meet these targets. But today's guidance exceeds the 2026 financial framework and is a result of our relentless focus on leadership, talent, accountability, culture, operational excellence, and disciplined execution. Our 2026 guidance that Ken will take you through momentarily is the foundation for a new 2028 financial framework that we will announce at our upcoming Investor Day in February. With that, I'll turn it over to Ken.
Kenneth L. Bedingfield: Thanks, and good morning, everyone. Turning to the financial results for 2025. Revenue was $21.9 billion, up 5% organically with growth in all four segments. Adjusted segment operating margin was 15.8%, up 40 basis points, reflecting continued cost efficiencies and strong program and product delivery. Non-GAAP EPS was $10.73, an increase of 11% over 2024. Adjusted free cash flow grew to $2.8 billion, representing an increase of greater than 20% driven by earnings growth, effective working capital management, and the benefit associated with favorable tax planning strategies and tax reform. For the fourth quarter, revenue was $5.6 billion, up 6% organically with a segment operating margin of 15.7%, up 40 bps. Non-GAAP EPS was $2.86, up 10% year over year. Turning to our segments results. For 2025, CS delivered revenue of $5.7 billion and margins of 25.2%, 4% growth and 50 bps of margin expansion. In the fourth quarter, CS delivered revenue of $1.5 billion, up 3% driven by increased international deliveries for software-defined resilient communications, as well as next-generation Jammer program ramp. Q4 operating margin increased to 24.9%, up 50 basis points. CS margin benefited from LHX NEXT. In 2025, IMS delivered revenue of $6.6 billion, 8% organic growth, and margin of 12.2%. In the fourth quarter, IMS revenue was $1.7 billion, up 11% organically due to ramping activity on classified ISR programs and our airborne early warning and control aircraft for The Republic Of Korea. Q4 operating margin was 11.1%, down 270 basis points with the reduction largely reflecting the CAS divestiture and unfavorable program performance in Maritime. For 2025, SAS delivered revenue of $6.9 billion and margin of 12.3%. For the fourth quarter, SAS revenue was $1.7 billion, up slightly primarily driven by increased FAA volume admission networks, partially offset by lower classified program volume in space, and Intel and cyber. The government shutdown delayed awards and limited additional revenue growth in the quarter and the year. Q4 operating margin increased to 13.7%, up 290 basis points reflecting stabilized performance on classified space programs and LHX NEXT benefits. For 2025, Aerojet Rocketdyne delivered 12% organic revenue growth, with revenue in excess of $2.8 billion and margin of 12.5%. For the fourth quarter, AR delivered another strong quarter with organic growth of 12%, marking its third consecutive quarter of double-digit growth. Performance was driven by higher production volumes across key missile and munitions programs and the continued ramp of new awards. Q4 operating margin expanded by 130 points to 11.8%, benefiting from higher volumes and LHX NEXT. Great results by each of the segments. Now I'd like to highlight key terms of the Department of War's planned investment. This is a $1 billion preferred security invested directly in the missile solutions business. The security converts at a 20% discount to the IPO price plus 3% detachable warrants priced at a premium. We are planning for an IPO in 2026 and the DOW is expected to hold a single-digit equity ownership stake. As a reminder, Missile Solutions will remain a consolidated segment in our financials following the planned public offering. This business will continue to be a part of LHX and will take advantage of our enterprise services and support structure. Turning to guidance for 2026. We expect revenue of $23 to $23.5 billion, representing organic growth of 7% at the midpoint. Segment operating margin is anticipated to be low 16%, supported by strong program execution and investments to drive continued transformation and cost structure efficiency. Free cash flow is expected to be $3 billion, driven by growth, higher profitability, and disciplined working capital management even as we increase our CapEx to approximately $600 million. We are transitioning our diluted EPS guidance from a non-GAAP to a GAAP basis now that we have completed the implementation portion of the LHX NEXT program. Our GAAP diluted EPS is expected to be in the range of $11.30 to $11.50. Solid growth even from our non-GAAP diluted EPS in 2025. Our guidance reflects appropriate risk early in the year and the dynamics associated with administration priorities. It includes a full year of space propulsion and power systems business, as we continue to work towards closing the transaction expected in the second half of the year. Consistent with prior practice, we will update as necessary upon the transaction closing. At the segment level, space and mission systems or SMS formed primarily from IMS and SAS, delivers critical multi-domain defense solutions in a traditional prime business model. SMS revenue is expected to be $11.5 billion driven by strength in ISR aircraft missionization and space solutions. Operating margin is expected to be in the mid-10% range. Communications and spectrum dominance or CSD brings our former CS segment together with our Westcam sensor business and other EW programs from across the company, to deliver primarily commercial products at commercial margins. CSD revenue is projected at approximately $8 billion driven by growth in EW programs and communication and airborne EOIR sensor products, with operating margin of about 25%. Missile solutions or MSL combines Aerojet with critical missile systems, including air launch effects, IR seekers, and other advanced technologies, creating a focused high-growth business underpinned by scaled capital investment. MSL revenue is anticipated to be approximately $4.4 billion with margins in the mid-12% range, supported by continued growth in solid rocket motor production. And for modeling purposes, this would convert to EBITDA of approximately $620 million. Our capital deployment strategy reflects our commitment to investing in the business while delivering value to our shareholders. Our approach to dividends is unchanged, and the number of shares outstanding is expected to be relatively consistent with year-end 2025. With that, I'll turn it back to Chris.
Christopher E. Kubasik: Thanks, Ken. Our results and actions position us for the next phase of growth. We are more agile, and we're able to allocate capital dynamically, partner strategically, and adapt our portfolio as markets evolve. And we are strengthening our foundation for long-term performance. By transforming our company, evolving our operating system, and adopting AI. Most important, our actions ensure that we remain a trusted partner for our customers and continue to disrupt with a focus on long-term value creation for all stakeholders. Tiffany, let's go to Q&A.
Operator: And please limit to one question per person. If you'd like to ask a question, please press 1 on your telephone keypad, and a confirmation tone will indicate your line is in the question queue. You may press 1 if you'd like to remove your question from the queue. If you have an additional question, please press 1 again to get back in the queue. For participants that are using speaker equipment, it may be necessary to pick up your handset before pressing the star key. One moment, please, while we poll for questions. Thank you. Our first question today comes from the line of Kristine Liwag with Morgan Stanley. Please proceed with your question.
Kristine Liwag: Hey. Good morning, everyone. Chris and Ken, thank you for the additional color you provided on the missile solutions business this morning. Considering the strong demand for this product, should we continue to see long-term agreements similar to what was announced on PAC-3 and THAAD, or is this satisfied by the IPO plans with the US government? And also a follow-up to that is you've called out double-digit growth for this business, but demand is very strong. In the next three to five years, and maybe too premature to think about it like that, but is this something that could grow three to five times larger?
Christopher E. Kubasik: Thanks. Alright. Kristine, thank you for the question. Yeah. Look. Everything is tracking as we've been talking about. We were excited to hear this morning that Lockheed Martin reached an agreement on THAAD. As you know, we're the only provider of the propulsion and DAC systems for THAAD, and, obviously, we're going to be glad to support Lockheed Martin's and the end customer. So, absolutely, this is what all of the industry has been discussing with the DOW over the last half year or so, and we're starting to see these transactions take form. Once we get the several billion dollars and start with the facilitation building, in excess of 60 factories over a million square feet ordering the equipment, and our supply chain doing the same. I think there's a lot of upside and potential. As you would expect, we'll file form S-1 as part of the IPO process later this year. And it will provide a lot more information and details and highlight the potential upside. Yeah. I'll just add, Kristine. As Chris mentioned, we're absolutely excited about the framework agreements that have been signed between the Department of War and Lockheed on both PAC-3 and THAAD. We are working closely with our customer as well as the end user to make sure that we're very closely aligned. In particular, those customers that are working closely with the Department of War on the acceleration and the scaling and get the agreement signed. We've been investing and, again, closely to modernize production lines for THAAD and PAC-3. We'll continue to do that, and we'll take some of the lessons learned from that to scale across all of the munitions acceleration programs. And, as we look at this, I don't want to put a number out there on tripling, but we do think that this business as we combine missile solutions is one that can grow at a double-digit CAGR for some period to come. We've studied the market. We've studied the demand. We've had some outside parties come in and do an independent look just to make sure we're looking at it correctly, and we do see this business as able to grow double digits for the foreseeable future.
Operator: Our next question comes from the line of Myles Walton with Wolfe Research. Please proceed with your question.
Myles Walton: Great. Thanks. First one was on CapEx. It's obviously higher, 2.5% of the '26 sales or thereabouts. Is there a much bigger step up happening in the future to give a smaller step up than what I expected for the multibillion-dollar investment required in missile solutions?
Kenneth L. Bedingfield: Yeah. Myles, I can take that one. Yeah. We're stepping up CapEx in 2026 to about two and a half percent of sales or $600 million. I think that's something like a 35 or 40% increase from 2025. As we do that, we're still holding to our 2026 free cash flow guidance of $3 billion. And, looking forward, I'm not going to put a number on 2027 CapEx at this point. But we're certainly thinking about it in terms of, as we capacitize to deliver, how will we be able to pull cash on some of these new production programs to be able to offset some of that CapEx that we're needing to invest upfront. We'll certainly be working with the entire supply base to make sure that we're going at this together. And, suffice it to say, I think that this is kind of a one-time capital investment to really and truly modernize how solid rocket motors are produced at speed, and at scale and at a rate that quite frankly, the customers haven't gotten to date out of the SRM supply base. And, there is a lot of demand and we're to help to fill that as quickly as possible to get that product into the hands of the warfighter. So we think there's a durable long-term benefit to this capital investment. But, again, we'll certainly be working to maximize cash inflows as we look at those CapEx requirements in 2027 and 2028. And I'll just add, Myles, as you know, we purchased Aerojet Rocketdyne two and a half years ago, and on day one, we started investing. So it's been well over a half billion dollars of CapEx spent at Aerojet over the past two and a half years. So when we made this acquisition, we knew it was a race. We started on day one. And we sure plan to win the race.
Operator: Our next question comes from the line of Noah Poponak with Goldman Sachs. Please proceed with your question.
Noah Poponak: Hey. Good morning, everybody.
Kenneth L. Bedingfield: Good morning. Hey, Noah.
Noah Poponak: Thanks. Ken, just a quick point of clarification. The comment you made about the expectation of the government or Pentagon stake in missile solutions is that it would be a single-digit percentage of the enterprise value of missile solutions. Just want to make sure that's what you meant. And then just as a second question, to your point on still doing the $3 billion with the higher CapEx, that implies your cash from ops is growing year over year quite a bit faster than your segment EBIT. If you could just break down the pieces of why that's happening.
Kenneth L. Bedingfield: Sure. Yep. On the first question, yes. I did, in fact, mean a single-digit stake, single-digit ownership stake in the business. And on the second question, look, in terms of our cash from ops and our free cash flow, we're certainly laser-focused on ensuring that we deliver the cash out of the earnings that we generate. And, as we look at 2026, we're very comfortable that we can accommodate the additional CapEx requirements as we look, again, at investing in the business to support our customers and to drive the needed capacity increases in our products. And I should say that's really across the L3Harris portfolio. We focus often on solid rocket motors, but there are demands for a number of our products, as Chris mentioned in his comments. And, look, disciplined working capital management, certainly working in all aspects of the contractual deals with our customers as well as our suppliers to make sure that we can deliver the cash at $3 billion for 2026.
Operator: Our next question comes from the line of John Godin with Citigroup. Please proceed with your question.
John Godin: Hey, guys. Thanks for taking my question. There's obviously a lot of excitement around missile solutions. But we do get questions on RemainCo. And what the revenue outlook for RemainCo LHX RemainCo might look like over the next couple of years and points of leverage to what could be a very large defense budget on the horizon. I'm sure we're going to get more detail at the Investor Day, but I'd love to just kind of give you a chance to speak to what the revenue growth rate might look like, whether you envision it accelerating from here and what points of leverage remain in the business even when you IPO the sort of most exciting, fastest-growing part? Thanks.
Christopher E. Kubasik: Hey, John. Thanks for the question, and I appreciate the focus on RemainCo because that's a big part of L3Harris, and as Ken said, and we've said over the last several weeks, we will continue to consolidate, own, and control MSL even after the IPO. So we're looking at solid mid-single-digit growth, a little faster, I think, than the rest of the industry and hopefully faster than the market in total. As I said in my prepared comments, I really like our portfolio. We spent a lot of time realigning this over the last five or six years. And I would look at our capabilities. I look at our capacity. We've talked about building new factories for space. You know, the SDA win is a big win for us. Four in a row. HPTS has come in. It's a lot of classified work. So when I look at what we have in space, what we have in the airborne domains, even maritime, maybe not as a prime, but supporting a lot of the new construction, I think we're well-positioned. You know, the accelerant will be, we need to see the 2027 defense budget, the PVR president's budget request has yet to be submitted to Congress. I think sometime in March is what people are saying. And if that's in fact $1.5 trillion, I'll be as excited as everybody else in the industry and it could even be further upside. 7% is the midpoint of a range. So I really like our portfolio. I love our backlog. And I think we're well-positioned.
Kenneth L. Bedingfield: Yeah. I would just add, John, to that. If we do see a significantly increased defense budget in FY27, our expectation certainly is that, as we look at upside to growth, we would expect L3Harris to be able to deliver on that quicker given our agile nature and our ability to crank up production given some of the investments that we've made in the business. Whether that's in space satellites related to missile defense for America, whether that's in communications or even as we scale the solid rocket motors.
Operator: Our next question comes from the line of Peter Arment with Baird. Please proceed with your question.
Peter Arment: Yeah. Hey. Good morning, Chris and Ken. Nice results. Chris, regarding Golden Dome and the FDA, you've been very successful with all the FDA programs that you highlighted, and another great win in December. How do we think about the total opportunity? Or can you quantify what Golden Dome looks like for L3Harris when we think about that?
Christopher E. Kubasik: Absolutely. Golden Dome was set up as part of an executive order probably about a year ago today. We've been tracking, as you have, all the progress under General Gute Line and setting them up as a DERPAM and the budget. A $155 billion of reconciliation money which contains $25 billion just for Golden Dome. When you look at the three pieces, there's a space-based interceptors, which I think will be the slowest to develop over time and probably began with development programs. We are taking a merchant supplier approach with space-based interceptor. We have some great technologies that everybody wants. I think part of our strategy in a portfolio allows us to prime sub or be a merchant supplier. So that's how we're going to play in that. You know, we talked about the actual satellite architecture. I think we're in a really good position as evidenced by what we've won to date, as you said, Peter. And we just need to wait for more awards and more RFPs. I think the government shutdown, as we said, probably set back Space Force forty-five days or so, but they did come out with an architecture. We have our capabilities and we'll be ready to respond quickly. Again, we've invested. We built the facilities, and we have state-of-the-art modern factories to crank out these satellites at the right time. And then everything else under Golden Dome, a lot of deals with the missile defense and the interceptors, which I think we've covered under the THAAD PAC-3 umbrella. We also have hypersonic capabilities and large solid rocket motors as well. So I believe we're in really good shape relative to each and every piece. And we have the capabilities. We can go fast, as Ken said, and we're just ready to get some awards and respond to some proposals.
Operator: Our next question comes from the line of Sheila Kahyaoglu with Jefferies. Please proceed with your question.
Sheila Kahyaoglu: Good morning, Chris and Ken. I wanted to ask another business question. You mentioned international tactical comms in your prepared remarks. How robust has that growth been in '25 and expectations over the next few years? How are you balancing the domestic side of tactical just thinking about the multiyear outlook there?
Christopher E. Kubasik: Yeah. No. Thank you, Sheila. I'm glad you asked the question. We still think we have the best and only resilient comm capability as going to be critical to the future of warfare. On the international, you read a lot about it. We continued to win a lot of business in 2025. We think we're going to continue to win some business in '26. We're in discussions with a lot of countries around the world. And, you know, you have to balance all the political rhetoric with the needs. At the end of the day, these countries need resilient comms and they need interoperability. Our strategy has been and is actually increasing with more and more localization. We utilize partnerships. We're making investments in-country. We're transferring technology as appropriate. And we will have more international software-defined radios in 2026 than we will in 2025. So that's growing on that front. Domestically, you know, there's a lot being reviewed mainly by the army. I do like the fact that they're running experimentation. They're doing demos. And they're going to make the decision based on the capability. We continue to believe we have the best capabilities by far. Again, our radios are software-defined. So we've been investing and upgrading them with new capabilities. And, look, at the end of the day, the soldiers want to carry one radio, don't want to go backwards where people are carrying two or three or four radios. So the fact that we have the software-defined radios is a huge advantage for us. We've invested in the past. It's leveraged the commercial business model. We can scale, and we have a state-of-the-art factory in Upstate New York. So I'm optimistic about the future.
Operator: Our next question comes from the line of Gautam Khanna with TD Cowen. Please proceed with your question.
Gautam Khanna: Yep. Thank you, guys. Just following up on the last question. As we think about some of the things that did not get funded as well in the '26 request, things like armed Overwatch and some of the US military radios. I'm just curious, do you anticipate that we'll start to see some of that stuff get funded in the '27 request? Do you have any indication either way? And then just as a follow-up, obviously, the compare on margins, there were some asset gains in 2025. I'm just curious if you could talk about sort of what's driving the margin improvement in 2026. Thank you.
Christopher E. Kubasik: Yes. Thanks. Thanks, Gautam. We don't actually have insight into the '27 budget as you would expect, but if it is in fact going to be a $1.5 trillion, you know, I got to believe that the needs for, like I've said, the space sensing, the resilient comms, kinetic effects, and such are in our sweet spot, and these will, in fact, be funded. Finding the budget as it relates to these HMS software radios. It's on a variety of different line items. Again, you know, we feel that our hardware is needed, that our capability in the network is needed. And we're willing and able to compete with any and all newcomers and incumbents to prove our capabilities. So I'm feeling pretty good about the potential there, but we need to see how this plays out over the next several months.
Kenneth L. Bedingfield: And to the second part of the question, Gautam, I would say, as a part of our strategy and including LHX Next and how we do things differently and most efficiently, we've certainly been focused on investing in the business where we see future opportunities and growth. And as a part of that, where we see some product lines that are, I'll say, legacy or that we're not investing in that are less core to our strategy and our growth, we've focused on trying to monetize some of those for other folks who may see those as more attractive in terms of the longer-term sustainment tails or what aligns better with their business model. In terms of 2026 margin improvement, I largely see it falling onto our team to deliver on our programs and our product deliveries. Not projecting a lot of product line sales or gains relative to that in 2026. This is going to be about execution, product delivery, program delivery, and that's how we plan to get to that increased margin in '26. I think we've got confidence. You know, we're projecting to be, I think, positive EACs for 2025. And that puts us on a good trajectory for '26. I think we've gotten some program challenges understood and behind us, and we've stabilized a few programs that we had been, quite frankly, challenged with in parts of '24 and into '25. So feel good. I think we got the right team. And we can deliver on those commitments, largely by performing on the business, performing on our programs, getting the product delivered, and getting to our low 16% margin rate in 2026.
Christopher E. Kubasik: Now I'll just clarify. In my comments, I talked about LHX NEXT finishing a year early. That was a top-down approach, as you know, for two years to take out significant over, you know, billions of dollars of cost to streamline the business. That is now part of our DNA. It's going to be embedded into our operations as part of our ongoing continuous improvement program. So the concepts and the philosophy of continuous improvement efficiency, cost savings will continue. It just won't be called out as a separate top-down initiative. It will be into the day-to-day operations of the business. So another potential tailwind to higher margins.
Operator: Our next question comes from the line of Scott Mikus with Melius Research. Please proceed with your question.
Scott Mikus: Morning, Chris and Ken. Bookings were very strong in the quarter and the year. But given the shutdown, a lot of the funding from last year was delayed, and the one big beautiful bill funding is yet to be put on contract. I'm just curious where do you expect book-to-bill to come in for the year, and could you maybe parse that out by the new segments?
Christopher E. Kubasik: Yeah. I think you're right on the, you know, I think right now, we're waiting for, I think the Department of War has to provide a spend plan for the $155 billion reconciliation back to Congress, and then once that occurs, the money will be allocated and start to flow. You know, we did end the year at 1.3 book-to-bill. Generally, don't guide book-to-bill, but I would think it would be at least 1.1 or larger. But, again, we need to get the '26 appropriations passed. We got to see the '27 PBR, but we feel good about it, and we always plan to book more orders and revenue. We're going to grow 7% midpoint. We're going to grow orders double digits.
Operator: Our next question comes from the line of Seth Seifman with JPMorgan. Please proceed with your question.
Seth Seifman: Hey, thanks very much, and good morning, everyone. Maybe just a quick question and a clarification. I guess, from the question, the CSD business and kind of, you know, healthy margin there, 25%. How do you think about the sustainability of that margin going forward? Is that a segment where given the model, there's potential for margin expansion? Or is it at a place where, you know, that's about as healthy as things can get? Or are there various, you know, pressures out there from mix or anything else? And the clarification?
Christopher E. Kubasik: The clarification. We talked earlier about the, you know, lower funding in the request for tactical radios. Do you, in fact, have a good sense of how everything shook out in appropriations for Tactical?
Seth Seifman: Okay. Yeah. Let me take those. Yeah. On CSD, the nice thing now is we have a majority of our commercial businesses in the same segment, and I think that's what's unique about L3Harris. And I think Ken said it well. We have the traditional prime business models. We have the commercial business models, and then, of course, we have the high-growth top-line MSL. So yeah, we are constantly looking to improve our margins. I think with the commercial business model, with the volume and the efficiency, even the upcoming adoption and utilization of AI, there's always potential to increase on those particular opportunities. So I'm really optimistic about it. And there will be best practices shared within the commercial business model segment that has only been formed about four weeks ago. So there's absolutely upside in that regard. And, yeah, checking out on the 2026, like I said, there have been some reductions in some of the tactical radio line items. They are kind of peanut buttered throughout, so you have to piece them together. Some are competitive, which we plan to win, and we're still optimistic that we can grow our tactical radio business in 2026, and that is our plan.
Kenneth L. Bedingfield: Yeah. I'll just add maybe just a couple of things, Seth. In terms of CSD and the 25% margin rate that we're forecasting for '26. I think we certainly feel good about that in terms of, look, it's a commercial model. We invest. We bring the product forward. And we will continue to invest in that business to continue to modernize our products and ensure that they meet the ever-changing demands of the warfighter. And, you know, as we make those commercial-type investments, you know, they certainly are or they do offset some of that margin as you think about that model. We certainly accommodate that within the 25%. Is there the opportunity to see some of that go up, as Chris mentioned, as we continue to modernize and continue to think about how we operate the business? Sure. But we'll also think about that as giving us the ability to continue to invest in the growth of that business. And I think that ties into, you know, a bit into your question on the radios. You know, we certainly continue to invest in modern waveforms, certainly into the software-defined radios themselves. And certainly into our relationships with partners around the globe that are able to procure US radios from L3Harris that are, again, resilient and operable. And able to enable us to have steady throughput in the factory even as we think about on the domestic side, reallocating some of our resources to support programs like NGC2, you know, from HMS Manpack and COTS and then filling in the production for our international partners who really want to get their hands on, again, those interoperable L3Harris radios. So it's been a good model for us.
Operator: Our next question comes from the line of Douglas Harned with Bernstein. Please proceed with your question.
Douglas Harned: Good morning. Thank you. You know, on space, I wanted to understand a little bit more about what your production plans are, the ramps in Palm Bay and Fort Wayne, and then how you think about it in the context of your broader space business. You mentioned, as we know, you've been on every one of the tranches for the tracking layer. But when you look at tranche three, there are three of your peers also on there. So I'm trying to understand how you see the tracking layer evolving over time from a competitive and industrial participation standpoint and how that ties in with your thinking about production ramps in your new facilities.
Christopher E. Kubasik: Okay. Good morning, Doug. Thanks for the question. Yeah. There were 72 tracking satellites awarded. I think in our meetings with the customers over the last year or so, the number one focus is speed, followed closely by scale. So we've made the investments over 200,000 square feet, as you said, in Fort Wayne, Indiana, and in Palm Bay. We have the capacity to quickly turn these satellites and meet the schedules and commitments that we've made to. The supply chain is always critical in the satellite manufacturing business. I used to think with all this ramp, that seems to be the challenge. You know, that the entire industry is facing and getting the second and third-tier suppliers the scale and the ability to perform and meet their commitments. So we envision increased revenue in both of those factories as we start to fill them up. Looking forward to getting HPTSS for however many satellites that turns out to be. And there's a lot of work going on, Doug, in the classified arena. So Golden Dome is starting to fill in. And like I said, we've made the investments. We have the capacity. And I think the DOW is going to look for companies that have the capacity. They don't have time to wait for people to build buildings and go from one or two demos to 18 or 36 a year. So I think the strategy has worked. And, again, being a little further ahead several years back, we're perfectly positioned for this growth.
Operator: Our next question comes from the line of Robert Stallard with Vertical Research. Please proceed with your question.
Robert Stallard: Josh, good morning.
Christopher E. Kubasik: Morning. Hey, Rob.
Robert Stallard: Chris and Ken, you laid out some pretty interesting growth opportunities ahead. But I suppose all of this is dependent on your supply chain and your personnel. So how do you feel about the capacity of the suppliers and your internal staffing to deal with this trajectory that's ahead of us?
Christopher E. Kubasik: Alright. I'll take it for a shot. Good to hear you. Personnel has not been an issue. You know, I think we're one of the hottest companies in the industry for people to work for. We have a very active recruiting both on campus and experienced hires. So no issue filling the workforce. We are spending a lot of time with almost half our employees being engineers. Engineers, you know, how do we enable the engineers AI-enabled to be more efficient, get more productivity, without necessarily having to add a significant amount of people. We're using more and more robotics in our factories, including in the missile segment as well. On the supply chain, I think they have now seen the demand signals where historically, there were sole providers to the entire industry. I think we're seeing two and three different suppliers out there. There's a ton of private equity money looking for things to do. And every time we meet with them, we tell them to start a second, third-tier supplier for the defense industry. The world needs a lot more there. So I think it's healthier than it used to be. It got through COVID. They're investing now that they see the demand signal. And I think, as a country, we're close to being able to hit on all cylinders. But as always, they have to be able to hire. They have to be able to invest and perform, and I think this administration is doing a good job setting us all up for success.
Kenneth L. Bedingfield: Yeah. Thanks, Chris. And maybe I'll just comment a little bit further on supply chain at MSL. Just given the rapid growth that we are projecting there. And I'll just say, we've significantly matured our approach to supply chain, our supply chain organization, and the relationships with our suppliers where we really are thinking about our suppliers as partners on this path that we see of growth and getting the additional capacity to our customers. And less about a vendor or a transactional type relationship. So we're working very closely with all of the key suppliers. I would say, in that particular business, we're certainly one of their, if not their largest customers, certainly for these types of products. We certainly intend to keep it that way with the growth that we project. And, as Chris mentioned, in helping our customer get the missiles they need into the hands of the warfighter. And for us, solid rocket motors into the hands of our customers, we are essentially in a race both to get those in the hands of the warfighter as well as stay ahead of the competition. And we do intend to win that race, and working very closely with our supply chain is a key part of that strategy.
Christopher E. Kubasik: Tiffany, we'll now take the last question.
Operator: Our final question comes from the line of Michael Ciarmoli with Truist Securities. Please proceed with your question.
Michael Ciarmoli: Hey, morning, guys. Nice results. Thanks for taking the question. Chris, just Chris or Ken, a little bit more detail on maybe unwinding Aerojet and MSL now. You'll have the majority stake. In the past, you've talked about having all the capabilities or the majority of capabilities under one roof to compete as a prime. Is this still going to be the case? Or is MSL going to be a 100% merchant supplier model? And if so, were there any stipulations or conditions mandated by the DOW to that end?
Christopher E. Kubasik: Thanks, Mike. There were no stipulations from DOW with regards to that question. They want competition. They want scale. They want speed, and that's what we plan to focus on. Yeah. It's interesting. I think this when you look at this $4 billion-plus entity, a lot of the focus is on solid rocket motors. But we did talk about seekers. We've been investing hundreds of millions of dollars in developing seekers. Have weapon release. So it's kind of a one-stop shop relative to missiles. But really as a supplier, you know, there generally are a lot fewer new start missile programs as a prime. But if that's something we choose to do, we have the ability to do it. My honest assessment is we have so much work, so much growth, you know, we try to focus on what we do well and how we can grow the top line, the bottom line, and generate cash. And we're not going to spend a lot of time getting distracted or chasing shiny objects. So we have more than enough work. I'm excited about the sixty-plus buildings, the equipment, the robotics, the increase in the workforce. But we'll see what they need, and if we can support the customer, we always look to see in what role is best. Sometimes it's merchant suppliers. Sometimes a prime, sometimes it's a sub. But nothing out there in the near term to focus on in that regard. So I appreciate the last question. In closing, 2025 was our best year ever. We reinforced the durability and alignment of our portfolio, the strength of our and the discipline of our strategy. We took deliberate actions at the beginning of this year to evolve and position ourselves for the future as we build on the momentum from 2025. We enter the next phase as the industry's most focused, agile, and resilient company, confident in our ability to drive sustainable growth, deliver strong results, and to continue to create long-term value for our customers, shareholders, and employees. I want to thank you all for joining today's call. We look forward to seeing you on February 25 at our 2026 Investor Day in New York City. Till then, stay safe and warm.
Operator: Thank you.